Augustin de Romanet: Ladies and gentlemen, hello. Thank you for being with us today for the presenting – presentation of the Financial Results 2019. I would like to welcome our internet attendees as well. We're going to be hearing from Philippe Pascal, who is going to talk about the figures of year 2019, which was extremely full. If we had to choose a few events of note in the year, we have a hard time making a choice, because so many things happened. If you had to, because in three minutes, you're going to be delivering your refrigerator. The only – the important thing about 2019 – the important things are, very good financial results, with the intrinsic performance which is very good. All things being equal, other than non-recurring effects EBITDA increased by 2.8%. The quality of service, historically, up 8.2%. We've never had such good results in quality of service despite as you know the concerns that we've had with respect to the waiting times at our border police. The third point I want to go into is that, we have an opportunity for putting into practice our precepts as economists. The offer reveals – the supplier reveals the demand. And the figure is so impressive that this year, we were led to – had an increase in passenger spending of more than 7%, which is incredible. We know the investments we're making in this area will continue. And fourth, one thing was expected but when it happens it's even better. That is the payment of the indemnity due to the closing of the Istanbul airport. Normally, we have the right, but so long as the money hasn't been notified and cashed in and we should have that by the end of the week, at least the first half we were paid by the closing – about the closing of the Istanbul airport. So – so much for this year, very good quality of service, very good retail results and good growth and a resolution of Atatürk. So let's get into the details. As you know, the events of note in 2019. In this list, you have the first point, which I just spoke about, which is the closure – the early closure of Atatürk airport in the last line. The authorities have paid us off. We're going to be receiving €389 million, which will have an impact of plus 14% only on the accounts, because we had provisioned this. The traffic is up 2.3% not counting Atatürk. As you know, the traffic is down by 16.6% at Atatürk, so quality of the service very good performance. 2019 was also a year of the public consultation document and the discussions for the upcoming Economic Regulation Agreement. We also talked about the company public consultation for Terminal 4 development project, commissioning of the junction building and runway 3 and publication of the PACTE Law, which is very important for the life of – along with the shared initiative referendum. The Prime Minister formally committed to starting work on CDG Express for the commissioning by 2026 or 2025. So all is going well for us. About figures, and I'll give you just the main lines here and Philippe will give you the details a bit later. As I said, what you need to remember is that the operating performance was good. The sales here 17.3% in terms of revenue was buoyed up by the SDA results from the duty-free activity with LaGuardia, which is in the Relay stores and the effect of integration over 12 months of the of Jordan. EBITDA up 5.5% and the operating income – net result attributable minus 3.5. So the decrease corresponds to the loss the fact that we're no longer operating Atatürk. It corresponds exactly to that. So this – and we will be maintaining a stable dividend. Now events of note in 2019, to choose the most important ones let's – there are two of them. First of all, Orly, you know that Orly Sud and Orly West are now finished. We have a building of 80,000 square meters that will be able to welcome 10 million passengers under better conditions of comfort. We also have a new layout, which goes along with the efforts being made in the signing. So great contribution of the new junction building the Orly-3 junction building, good contribution to quality of service. I'd recommend that you go have a look and the continuum this huge corridor it was a travel later that goes from the south to the west. So that now it is a real junction between those two airports and a corridor -- there is real corridor and it's not just into the wind. So, also, we've achieved an outstanding project the recommissioning of runway 3, which is extraordinary. 20 years ago you would have needed three years to do that. It was done in a few months. In the 29th of July to 31st of December, 700 workers, 24 hours a day every day. They did not destroy the runway and remove the rubble. They destroy it and recovered and recycled and they made a cement out of the rubble. So they saved a lot of truck movements. And we were able to build 7,500 houses with the remaining rubble after the work was done. So the ecological results were exemplary. That's why we've insisted on talking about this particular work site project. Now as to trade and retail. We'll get back to this, but you should know that this is one of the bits of good news about 2019 is that when you offer to passengers something that's quality, they buy it. Plus 7.3% in pack sales compared to 2018 boosted by end of the year sales in 2019 and the beginning of 2020 sales. In other words, whatever the circumstances the sales per packs at the beginning of 2020 reached unheard levels which are -- presents well for the figures in 2020. 72 shop openings in 2019 and 21 openings on the second half year. So all of the analysts that were worried about the retail side I -- when I arrived at ADP in 2013, I said to our teams, yes, but there's too many luxury shops. We need middle-of-the-range shops. We don't want customers to think it's only for rich people. So we ran a test we opened up in Mango and Orly, which was a catastrophe. So now we assume that our customer -- we're giving -- we now only have luxury stores. We have a few fanatics people who want to buy battery chargers or books you might know them. We need food and beverage obviously. So we have taken that decision of an airport that needs to be an icon of Paris. And we know with the opening of the Samaritaine, the competition exists in all areas and here as well. In 2020, we are starting out with a very processing work on retail. Now quality of service. As you know that's the most important. Since we've been measuring the quality of service, this is the second best level of progress even with all of the border police problems and delays. This is due to the efforts we have in the welcome system. As you know, this is a new system called Welcome to Paris. We have no longer -- staff for no longer behind the counter. They are out and running -- walking around, as they're trained to go and talk with passengers to see what they need. It's all because they're coming into the lobby of a big hotel. Paris Orly renewal as well renovations with a lot of customer space. We have action plans for -- to reduce waiting times, we have a new software called [indiscernible], which lets us calculate that minute-by-minute. How many people are on the line and the border police and other areas in the airport where the obstacles -- where the blockages are? And lastly, we have customized the provisioning experience with a loyalty program and various applications that are increasingly sophisticated. Now the objective is to reach a level four in quality of service and we have every hope of succeeding in doing that as soon as we open up the new junction and the new satellite to reach that level four very quickly. 2019 and I said -- as I said this morning was a real change for the environment. I must say that until the middle of 2019, there were strikes in schools and the strike movement of Greta Thunberg. The world of aeronautics saw the reduction of -- in greenhouse gases as something that was important, but not necessarily existential. Today it has become existential. And naturally the road map for 2019, 2020 was important in two areas. In energy, we improved our energy -- the goal is to improve our energy efficiency by 1.5% per year in sustainable construction and land development where they are -- we're talking about 25% vehicles are now clean. We've reached our objectives with water and waste biodiversity we've reached those -- we will have reached those at the end of 2020. So, this is really a turning point in terms of climate change. ADP Groupe has committed in June to zero net emissions by 2050. We'll be at 0 emissions with a compensation in 2030. Internally, we made the choice of using a carbon price that would be discriminating for investments €60 a ton and €100 starting in 2023. And we launched a movement from mobilization of the sector. There was a journal -- a newspaper article about the decision of ADV to group together Airbus, logistic, Air France, and other French airports because we know that if we wish to continue to grow we have to give tangible proof that we are reducing our CO2 emissions. Even though the aircraft sector is only 2.5% of CO2 emissions worldwide, we know that the growth in air traffic is such -- so sustained that this could become a major issue. And lastly, we installed in our platforms small kiosks which enable you to contribute to ecology projects around the world to reduce CO2 emissions. In 2019, we have also a very important point which is the Terminal 4 project. So, there was a consultation which was a run for these terminals with 75 hours of public meetings, 6,000 people were involved, we got their opinions three months, 440 towns. So, I could go back over this if you should -- you so desire. I don't want abuse of your time. We have taken the commitment to do what we call a balanced study or project in terms of the noise levels to verify that we're able to recommend all of the regulatory measures to minimize noise. So, this is a summary of the main elements in 2019. And now I'm going to hand over to Philippe Pascal who's going to be talking about some precise figures.
Philippe Pascal: Good morning everybody. A few facts and figures regarding 2019. Our financials have been marked quite a lot by some scope effects and particular elements a lot of particular elements bringing us upwards and downwards and a year -- and full consolidation of AIG in Jordan since April 2018. Another scope effect connected with the closure of the Atatürk airport. And other small scope effects that are less visible, but worth noting like the acquisition by TAV of a small subsidiary for VIP lounges, a Spanish subsidiary that has worthwhile and accretive business  Now on the particular elements particular elements that we encounter bringing us downwards. The increase in the taxable basis subject to the property tax in 2019. Some bankruptcies XL Airways and Aigle Azur bringing us to a write-down of €20 million worth of fees. Also the base effect of the capital gain from the reevaluation of the stake in AIG in 2018 that did not happen of course in 2019 €23 million of a difference. And positive effects with the offsetting done following the early closure of the Atatürk generating an income of €14 million. And some reevaluation of our stakes in SDM following the full consolidation €43 million and a modification of the complementary pension scheme that generated a positive to the tune of €41 million. So all told, all of these items taken together -- if we cancel them out, shows a lot of underlying performance that's going in the right direction, keeping a lid on OpEx in spite of negative impacts since Paris connected with additional taxation issues such as by the French budget enacted on the December 28th, 2018. Now, regarding fundamentals underpinning our performances, the main driver of the business activity plus is our traffic. You have the traffic figures here for 2019 for the ADP group and all of these airports, growing by plus 2.3% if we cancel out Istanbul, Atatürk in 2018, 2019. If you don't cancel it out, there's a drop in the traffic of minus 16.7%. With traffic in Turkey, particularly buoyant and value-creating, international which you see here the upswing in traffic in Antalya, plus 12.6% and domestic traffic going down however as you see in Ankara minus 18.2%; Izmir minus 7.6%. But all told, all taken together, if you look at the international routes that have grown in traffic, it tripled the size of the domestic route, so that's overall positive value creating for us here in Turkey. Now the other main airports abroad, you have Chile faring well in spite of the geopolitical context that was difficult growth of 5.7%, Jordan, growth of 5.9% there. So if you zoom in to see the Paris traffic then, Paris traffic in our two airports, we've seen an increase of 2.5%, reaching a number of passengers hosted in our two airports of more than 108 million passengers all told. Now if you compare us with other airports we're doing well compared to London, Amsterdam or Frankfurt, where the traffic grew by 1%, 0.9%, 1.5% as you see on the chart. Only Madrid with 6.6% of an increase posts higher growth than what we've seen in the two Paris airports. So there's a good financial and economic health in the country, but also the tourist impact in Spain. So the main indicators for Paris airport all going up as you see. International traffic more and more international traffic that is, plus 3.7% compared with the total traffic increased just 2.5% of an increase, low-cost airlines growing quite well, plus 2.4%, now representing 22.3% of our total traffic, connecting rate and load factor also going up. So, the year was characterized by a strong asymmetry among our different airports. If you look at Charles de Gaulle, the traffic volume went up by 5.4%; Orly traffic went down by 3.8%. Now Orly's underperformance is connected with the works going on on the runway which of course led to the runway being closed and we had to do a whole new rescheduling of flights for airlines that had to be therefore transferred to Charles de Gaulle. Now you have Aigle Azure that went bankrupt. Of course in XL Airways that also have been generally outperformed especially in Orly. Regarding the routes, you see America here, North America, plus 7.3%; Latin America, plus 6.1%; Asia Pacific growing by only 1.1%. But if you look at the Greater China areas up 6.6%; and Japan within Asia Pacific more than 7%. So, if you go into the details then, the main indicators, they're presented this year with a group vision. And each of the bricks here so to speak, show you the variation in SDN relay, one hand Jordan TAV airport and also the Persian activities, the more historical activities that's it. Now SDA and Relay, you see the mechanical effect of the full consolidation, integrating all of the revenues and of course all of the charges too, all of the expenses knowing that we are remunerated on the base of a percentage of the revenues via fees, concession fees. And it's via the concession fees that we capture most of the value creation such that there's a slightly deforming effect between the revenues and the EBITDA, diluting the EBITDA in spite of a fine performance in EBITDA margin that is concealing actually a very good underlying performance. Jordan then, there is the full consolidation effect there as well for a quarter of the year, which also conceals a fine organic performance because of buoyant traffic figures as we saw a minute ago. On TAV then. TAV, the revenues and the EBITDA going up, especially shored up by traffic and the more international dimension of that traffic. However, TAV had to bear some expenses, payroll expenses because of the departure of several thousands of employees following the closure of the Atatürk airport and also a loyalty plan, a retention plan for staff who had to stay on. So the Paris activity is very resilient again with the landing charges and retail fees faring very well and also the Charles de Gaulle Express work going forward nice and Grand Paris work going forward as well. And of course we are players in those infrastructures. So regarding the operating income from ordinary activities going down, because it's impacted by our full consolidation effects that we saw, but also some events in Turkey, that led us to negative impacts, especially the discontinued activities in Atatürk impacting the duty-free subsidiary ATU and also accounting impacts write-downs and so on for Bodrum and Medina. But on the rest of it especially the Persian activities is the capital expenditure policy that we see kicking in here. And there's an increase in the amortizations weighing on the operating income from modern activities. The net income, well this is also slightly down as our Chairman said €20 million down, because it reflects the loss of the contribution enacted with the Atatürk airport. And of course there were – Bodrum down with variations. If you combine them all as you see here, you see the result. But a fine financial performance and taking account of the compensation in respect of the early closure of Atatürk generating a €14 million profit. And we've taken on board the receivable here and the right-of-use items have gone into the accounts as well. So there were upward and downward flows but the net gain is €14 million. So all told the results are good, not easy to come to terms because there are a lot of details in there but the organic growth comes out fine. If you cancel out the non-recurring items, growth in revenues and EBITDA coming out at 4.2%. If you cancel out as well all of the one-shot items that weigh on the EBITDA concealing growth of more than 8.2% in the EBITDA itself. So the financial health of the company is very good. Then as you can see here our financial status. Here is our debt repayment schedule staggered very well with – over time staggered from 2019, up to 2028 with 2026 showing a big dip. But this is all leveled off with the net debt at €5.2 billion at group level including the TAV and the Jordanian debt. Also a portion of fixed-rate debt 75% with an average maturity of a bit more than seven years average cost 2.6%. And the rating then coming out at A plus and outlook stable. This rating is quite satisfactory in our eyes. There are not a lot of us in France that are in the SBF 120 index that have the headroom we have we think in terms of coming to terms with our future capital expenditure requirements in France and abroad. Thank you.
Augustin de Romanet: Philippe is modest to say there are not many people to share because in SBF 120 there are only two companies that are better rated than we are. There are only – and there are two that are a AA- Sanofi and ASQ, two are beautiful companies. The others are three banks: BNP, [indiscernible], Airbus, LVMH, Total and ADP. So what about the perspectives and conclusions? Now these two items concern two important factors in 2020 which are going to be highly structuring. First of all, the next Economic Regulation Agreement. As you know and like any airport group we need to have some kind of overview of the future, because we have to know what the return on capital employed will be and we need the weighted average. So we have finished with the public consultation. We have meetings with IATA as of April end 2019. In 2020, we are expecting two important things. First of all, during the month of February, the ART, the transfer regulatory authority will be handing over its decision on the estimated level of the ADP WACC. The ART is going to enlighten us as to the amount that would be possible to give more indications as to the terms of the regulatory agreement. So the regulatory agreement cannot be approved if it is not approved first by the ART. So this is between the government and the company, but it has to receive the approval as a stamp from the ART. So -- but -- so that we don't have to work too much in the unknown ART has already worked off-stream a great deal and very seriously by the way. And ART will be providing a range of prices. We hope it will be very close -- very tight in terms of price. Whatever the amount that will be decided by the ART, the tighter it will be the more visibility we will have and when we are negotiating that ERA agreement. So this includes three steps. And first of all the consultative commission has two months to work. Then we'll have the negotiation with the government, which is at least three months. And then to submit this to the ART, they have two months renewable ones. In other words, it would be four months total at the most. So they are on the 13th -- 15th of February the ART will be convened -- I'm sorry the consultative committee was convened. So we could expect the ERA could be signed via the 15th -- towards the 15th of November 2020. So once this is signed this is a condition to be able to commit to building Terminal 4. We cannot commit to important works without making sure that we have the money to finance it. And by the way, the fact that we are negotiating with the government on the basis that will necessarily be acquired because the ART will have giving us -- it will give us a ballpark figure a very tight figure. We have -- in 2019 we made -- took a commitment subsequent to the hearing of the 29 commitments, but we're not going to get into detail of those 29 commitments. We submitted a request for an authorization -- an environmental authorization in December 2019. This will be -- is currently having hearings on there and the public inquiry should take us around the summer of 2020, which authorizes us to say that the works could start by the end of the year 2020 or at the beginning of 2020. So the first message 2020 is important for these two projects. The second message is the retail motor or engine, which is behind growth will continue to boost those effects in 2020. We have a full year effect of the opening in 2019, but we also have 60 new openings all in luxury retail outlets luxury shops. In Terminal 2E, we have Cartier, Celine, Saint Laurent, Dior Beauty, Chanel Beauty and Vuitton. We have Terminal 2E with nine openings. We are two EBD with 23 openings of shops and we also have the opening of Phase 1 of the Orly 4 terminal where there will be eight openings. So two points of attention about retail openings. Naturally and I'm sure that you'll have the question what's the impact out of the coronavirus? So despite the impact of that disease, which has reduced the number of flights coming from China, we have figures in January and in February which remain at a very positive trend, a very high trend. A growth of 15% in January in 2020 compared to 2019, which means that we you consider that the effect -- full year effect of the openings in 2019 plus the openings in 2020 still give us a very good perspective for retail performance in 2020. This being said, naturally we could -- it could be necessary to take into account the effect of the coronavirus. The second point of attention which bears watching is that we had a project to open the merger of satellite Terminal 1 in July 2020. The lack of a subcontractor in the metalworking part of the project from the work site we'll delay that -- the opening of the terminal by one year. We have the project of a kind of a commercial -- a open commercial area a very high quality for all passengers from this -- from the oneworld alliance because our area is Lufthansa, Turkish Airlines, Singapore Airlines. And all these passengers are in A 48 but they were a very small boarding area and this is a very small retail area. So we're going to be opening that with Orly. So we also are going to open those -- the retail shops involved in that project a year late as well. So it's only by that date that we will have a full year effect of sales per packs targeted at €23. To conclude this presentation, the forecast for 2020, in terms of traffic plus 2% to 2.5% for Paris Airport and 3% to 3.5% from TAV Airport. For EBITDA we connect 2021. The figures we've given at the ERA not including TAV airports was between 3% and 4.5%. So that we are exactly in the middle of that range of prices that was our forecast. The ERA three said that the EBITDA would grow from 30% to 40% over the five years. In fact we are around 35%. The group will have an EBITDA between 3% and 5.5%. This is why we are proposing to maintain the dividend standing at €3.78 and we confirm all the targets for 2016 and 2020 with the exception as I just said of the sales per packs and quality of service targets which have been extended by one year in relationship with the opening of the satellite of Terminal 1 and the merger. So we're more about the forecast which appear in the press release. You'll see on Page 15 of the press release there's a small development on the new organization project, we call one group which is a project that was set up during the year 2019 which hasn't made much noise because it was a managerial project which -- where the target of preparing acquisitions -- international acquisitions and you know these corresponds to our program -- 2025 program. So at the beginning of 2019 we committed to having between 25 -- I'm sorry 35% and 40% of our net current operating income coming from international projects. This ambition, it sounds good on paper, but to actually do it and have the synergies you have to have the right internal organization. And for that reason, we've been working a great deal with Edward Arkwright and Philippe Pascal. They've worked a great deal in 2019 in order to have a business activity with a view in each of the compartments of the company to enable or develop financial synergies and sustainable development synergies in purchasing organization of operations. There are 10 business lines basically in all of the airports of the group as a whole. So for ADP Groupe this means that we are preparing to accelerate our development internationally, while still guaranteeing a financial -- that we are financially robust and obeying a industrial logic -- industrialized activities. In other words, we are Turkish in Turkey, Jordanian in Jordan, Chilean in Chile and indigenous in new countries that we are going towards in the coming weeks and months. So have a look at that Page 15 in our press release and the one group project. We have created -- we now have 4 pillars to this creating a new development group that is in charge of grouping together our teams that are in charge of developing a group in all areas including not having to do with airports. We are creating a general management of operations which will be in charge of steering airport operations around the world run by Fernando Echegaray who in his former life was running operations for the AENA Group. We created 10 group of areas for each of which we're going to be natively integrating the sustainable, development and innovation departments, recruited a new coordination sector between the people in charge of Paris and our main subsidiaries abroad. That's what can be said on the one hand about 2019, which brought us a great deal of work, but I think it was a good basis to prepare for 2020 quite remarkable work. And not only in 2020, it's looking very good, but as well we're preparing for what is to follow. One final word about the Coronavirus because you're going to ask the question. Every year we have -- we have 2 million passengers from China. Out of these 2 million passengers they spend 15% of our -- what we rake in. So this is real material. The months of January, February and March are small ones for traffic with China. So if the flights from China start up again in April, one might say that we could absorb that in the usual margins that we have with room to maneuver. We do provisions of traffic, which we're talking about roughly 10 days of disorder a year either strikes or snow or volcanoes or whatever. So if by the end of March the Coronavirus subsides and flights from China resume, we can absorb that. However, if it continues in April and May this is going to affect us and we will have to draw the conclusions from that in our forecast. One can say very simply that the experience of this SRS that the traffic picks up again very quickly once the crisis is over. The question is today how long is this going to last. So there you are. With Philippe Pascal and all our teams we are available to you for any questions you'd like to ask us.
A - Unidentified Company Representative: So there's a gentlemen at the back of the room with a microphone he has a question.
Unidentified Analyst: Just to pursue the Coronavirus issue. So you mentioned the impact for Paris could you give us the impact for other airports?
Augustin de Romanet: Yes. Well, that's a good question. I'm not quite sure I have the answer off the top of my head in Turkey. We don't have enough of craft with China, Georgia and Chile neither. In Paris we're always happy that we're the prime European destination from China. We've got 13 destinations with Greater China in all with lots of connections to -- with smallish towns with Wuhan. We're the leading city in Europe connecting people to Wuhan. So it's really Paris that's the hub for that. Now we're happy to be the leading European operator regarding China. But when you're affected you're affected. Jordan, Mid East, Turkey Chile this is more residual in terms of traffic with China.
Unidentified Analyst: Then what about the 15% of revenues you mentioned? Is that the airport?
Augustin de Romanet: When I say 15% I mean the retail outlets -- retail outlets, retail outlets. The retail outlets revenues, yes, 15% with our Chinese passengers. Thank you. 
Unidentified Analyst: We've got some questions that came in through the internet to Mr. Romanet. Can we confirm that the objective of 2.5% takes account of the coronavirus impact?
Augustin de Romanet: Well, no it does not take account of the impact of this virus but it's a question of being prudent, but we reserve the right to revisit our guidance if the Coronavirus extends its influence beyond the end of March.
Unidentified Analyst: Second question what's the impact on the first quarter of this virus on our traffic and on retail spending per passenger?
Augustin de Romanet: Okay. On traffic I think we've got a few figures there's some tens of thousands of passengers isn't it? In the first quarter the impact will be around -- we'll get the figure for you. But on retail it's not a substantial impact for the moment no material impact yet.
Philippe Pascal: On traffic – This is Pascal we've only got two weeks of impact because of the Coronavirus that impacted about 30% of the Chinese destination downwards 30% to 35%. So it's really residual in importance knowing that with 2 million passengers we've got three months of low season 30% of an impact downwards over two weeks. There are the figures on that.
Unidentified Analyst: Another question from RBC asking us if our traffic is going to go up by 2.5%. 
Augustin de Romanet: Well, it did go up by 2.5% in 2019, but that's less than your objective isn't it of 3.5% or 3%? So well Orly, of course, we do bring down the aircraft movements. And then with the strikes, the yellow vest and so on all the movements that was a loss for us. And due to that -- and then Aigle Azur and the XL Airways went bankrupt. That was not much negative impact.
Unidentified Analyst: Another question from the same lady on the post-tax amount for the €389 million compensation for the Atatürk airport or the closure?
Augustin de Romanet: Well, now that will be paid in two stages. The first check we'll receive in very shortly. We'll have to pay taxes on that conversation but anyway. And then the second stage in February of 2050.
Unidentified Analyst: Now there's another question about elections and the impact of elections. The impact of French elections regarding T4 -- Terminal 4?
Augustin de Romanet: Now we want to sign the commission of that before the end of this year. Hopefully the ART will give us the approval we need and then we'll be able to tighten up our forecast and getting to useful negotiations.
Unidentified Analyst: Now Ms. Dutt [ph] asked a question that nobody talked about so far. Could you tell us about the possible privatization?
Augustin de Romanet: Now I'm saying this with -- mockingly. But yeah the issue of privatization, we can address the OIP [ph]. The shared initiative referendum is going on as you know. The figures for January and February are pretty low now. So it seems to me that as of the 12th of March, the government will be unburdened from its promise not to address things until that date. Now we have missed elections in France just after that, so possibly early April maybe by the 2nd of April my birthday maybe, they might start looking at this, maybe perhaps. I'm more serious now. So the ADP Groupe is mobilizing its efforts to develop the company, the quality of service with all of our energy and being as professional as possible such that privatization is possible. So if the government were to decide to press the button to open up the equity base, well the people in the company will be prepared for that. There won't be any risk in that regard.
Unidentified Analyst: Then international development you're moving forward quickly. Could you tell us the key criteria for making choices when it comes to acquisitions and the particular geography in mind somebody asked?
Augustin de Romanet: Well, yes we want to go to Latin America and Asia in answer to that last question. Firstly, because North America is more or less closed there's hardly any privatization going on in the U.S. And in China, the market is closed. So it's Asia excluding China and Latin America, we're interested in primarily and the criteria for acquisitions or acquisitions in high-growth areas, higher growth than Europe that is. And well that's what we're interested in. With companies with, which we think we can generate -- create synergies with. I mean we're not an investment fund, we're a trade operator we're in a business. And we don't want to just invest money and give the keys of the shop to somebody else. No it's our management that have to drive wealth from our business activities. Philippe I'll let you answer the other questions from the internet. Thank you.
Philippe Pascal: Well, the first question’s here.
Unidentified Analyst: Well, we've already given an answer what do you think about the percentage of revenues from retail in ADP Paris coming from Chinese passengers?
Philippe Pascal: We told you already, it's 15%.
Unidentified Analyst: So the next question then concerns the extension of the concession in Antalya?
Philippe Pascal: We're expecting the RFP to be rebooted. They will no doubt renew that concession in the coming few weeks or months in Antalya. It got off to kind of a false start early January. No doubt it's going to happen in one of these months. So we're looking at this attentively this possible extension. And the form was done January. Well it was -- it took the form of an RFP with a lead partner who would commit to extending the existing airport facilities initially, so as to then take over control over all of the concession in 2023 or 2024. So this is indeed a subject we're monitoring closely, looking at all the possibilities with our partner Fraport. Now the other questions, an update on our M&A pipeline, somebody asked. At this stage, we are biding our time. We're in wait-and-see mode. We're working with TAV on the closing of the transaction Kazakhstan, Almaty. That's really the thing that's keeping us busy a lot at the moment. We're investing heavily there. And also, there are other projects which are more, by mutual agreement, confidential ones that we're putting in a lot of efforts on, that hopefully will reach fruition in the coming few weeks or months. Mr. Romanet, well, I must say, it's their full ownership freehold forever, in other words. So to have an airport forever in a region that's in the heart of Central Asia is really important for us. And also, we had advanced in talks with Cuba, but they slowed down a bit, because of U.S. laws creating legal uncertainty if you build on land that is claimed by people who thought they were dispossessed of their land. We haven't phased out that project, but waiting to see what happens there. And as we've said, we're working on other destination that we cannot disclose here today. And last question from the internet. On the ART body, this is our transportation regulation authority in France. And the date at which we might have there, what they call, the simple thing in regarding the WACC. Now the ART, as the Chairman recalled, should provide us with an approval regarding the draft contract that'll be submitted to it by the state. That's the contract between the state and ADP. And this approval is provided at the end of the process, so at the end of this year, no doubt, given the timetable that the Chairman recalled. However, having said that, it's possible for the government, off-stream of those talks, to go to the ART authority and ask it for a simple opinion, and it's not binding on the WACC in the regulated scope -- within the regulated scope, only which could be the one that might be endorsed then by the ART body. It's just a non-binding opinion, just an opinion. That would then give us a bracket. I don't know if that -- our assumption is that, it would be a tight bracket, said Mr. Romanet, because given the responsibility of the ART, they've understood that if they don't give a narrow bracket, a narrow band, it creates a drawback for the government that's so substantial that I trust the ART to stick to a tight bracket. So this opinion we're waiting in the coming 10 days, says, Mr. Pascal. Yes, madam, you have the floor.
Unidentified Analyst: Apologies if I missed it in the disclosure. But have you given any guidance for the CapEx for 2020? And then also, I guess, just on the Tier 1 junction delays. You've mentioned what it does to the €23 target. Does this move out the 2025 target at all? Or not? Thank you.
Philippe Pascal: No, it doesn't change the 2025 target. The forecast for 2025 are unchanged by the fact of terminal 1 being delayed by a year. No. And the first question, could you -- it was the CapEx, was it guidance on CapEx, said Mr. Pascal? Yes. On the 6 of April last at the Investor Day we expanded on our proposal regarding ERA number four between 2021 and 2025 stating our proposed investments for the regulatory project about €6 billion worth. And to that we should add non-regulated investment spending, for which we gave an estimate at about €1.6 billion. This is a proposal with respect to the ERA. That's subject to negotiations with the state. And we haven't got visibility, we won't have visibility on that until the end of this year. Are there other questions? Mr. Yan Derocles over there. I see you have a question, sir?
Yan Derocles: Thank you. Good morning, everybody. I'm from ODDO. Just a few points of clarification. Sorry for going back to the coronavirus again, but could you tell us the relative weight in the revenues of the retail operators of all of the Asian destinations? And then the second question has to do with the M&A. Perhaps I missed some episodes on the Sofia case now. Is this totally out now excluded? And then, I was surprised by the working capital requirement this year cash of €145 million. What's exceptional in there? What's nonrecurring? Can this happen again in other words? And on the other business activities, the drop in the EBITDA is it only connected with lesser invoicing on the Charles de Gaulle Express project?
Philippe Pascal: The last question I think that it probably -- I'd have to check it though, the cost -- the SGP comparing more generally and Charles de Gaulle more particularly. Yeah, that's probably the answer. I'd have to check it for you though. Now otherwise, Sofia with our TAV partner, we went forward, but we were not taken on board. We were not selected for that project. And now we -- there's a litigation actually going on. We've ticked the claim. We filed the claim with the concession giving entity following the RFP that was issued. So, there's litigation going on. Now on the Asian destinations and their importance in the retail outlets revenues, we'll --I'll check up the figure. I have it here Mr. Romanet. I was actually looking forward in the document. The Asian destination 18.9% of the revenues -- of SDA I mean, but it gives you a good ballpark figure I'd say, a good rule of thumb. It's a minimum figure. It's just SDA. And the brands, proprietary brands, the deluxe ones that appeal a lot to the Asians. You should add on about 20% roughly in the region of 20%. It's true that the gap between the Asians and the others is quite substantial. For example, a Chinese person will spend on average €110, Vietnamese a bit less and the Americans €22. So that's the passengers spending. We give those figures to you every year. So, we'll give you the exact figure for Asia. 18% to 19% is a proxy of an answer, but it's not the right answer. I'll get back to you on that. It's nothing more precise answer I'd say.
Augustin de Romanet: So, is that all Philippe? Have we answered the questions?
Philippe Pascal: So, Mr. Romanet, I think we've answered the questions raised so far. Any other questions from the people here in the room? Is there one from the internet perhaps?
Unidentified Analyst: We have Erin Toucanet [ph], who is asking if we are expecting a big protest on the part of gilets jaunes yellow vests in 2020?
Augustin de Romanet: The answer is no. Last year at Charles de Gaulle, we had a few yellow vests. They were like 40 of them that were going around Terminal 1. They informed the BFM TV that they're going to continue. So they announced that for 0.5 hour, but they showed it for a whole day, but it lasted a few minutes. And it looked like that we're invaded by yellow vest, but in fact no. It was a show, so they did the show. I'm joking a bit, but more seriously it's not really a problem.
Augustin de Romanet: If there are no other questions, any -- no regrets. So, let's meet just next door in a few minutes.